Operator: Good day, ladies and gentlemen, and welcome to the Fifth Street Senior Floating Rate Corporation's First Quarter 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Ms. Robyn Friedman, Head of Investor Relations. Ma'am, you may begin.
Robyn Friedman: Thank you, Chelsea. Good morning, and welcome to Fifth Street Senior Floating Rate Corp's first quarter 2017 earnings call. I am joined this morning by Patrick Dalton, Chief Executive Officer; and Steven Noreika, Chief Financial Officer. Replay information for this call is included in our February 9, 2017, press release and is posted on the Investor Relations section of Fifth Street Senior Floating Rate Corp's Web site, which can be found at fsfr.fifthstreetfinance.com. Please note that this call is the property of Fifth Street Senior Floating Rate Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. Today's conference call may include forward-looking statements and projections that reflect the company's current views with respect to, among other things, future events and financial performance. Forward-looking statements may include statements as to the future operating results, dividends, and business prospects of Fifth Street Senior Floating Rate Corp. Words such as believes, expects, seeks, plans, should, will, estimates, projects, anticipates, intend, and future, or similar expressions, are intended to identify forward-looking statements, although not all forward-looking statements include these words. These forward-looking statements are subject to the inherent risks and uncertainties in predicting future results and conditions. Certain factors could cause actual results to differ materially from those projected or implied in these forward-looking statements. New risks and uncertainties arise over time, and it is not possible for the company to predict those events or how they may affect it. Therefore, you should not place undue reliance on these forward-looking statements. We ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these forward-looking statements and projections. To obtain copies of our latest SEC filings, please visit our Web site, or call Investor Relations at 203-681-3720. FSFR undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. The format for today's call is as follows; Patrick will provide an overview of our results and outlook, and Steve will summarize the financials. I will now turn the call over to Patrick.
Patrick Dalton: Thank you, Robyn. Welcome to FSFR's first quarter 2017 earnings conference call. Before diving into the quarter, let me begin by saying that I am pleased to be here for my first earnings call as CEO, after officially joining in the beginning of January and assuming responsibility for all aspects of FSFR's investment and operating strategies. As you may know, in mid-September I was engaged as an advisor to FSAM Board of Directors based on the recommendation of an independent member of FSAM's Board. In that role, I was tasked with evaluating and making recommendations across three key areas: the people, the investment process, and the investment portfolio. While I have been familiar with Fifth Street for many years, conducting this comprehensive analysis provided me with more in-depth understanding of the business and the team, as well as its many strengths and areas for improvement. Additionally, since joining, I've had the privilege of speaking with many of our external constituents, including shareholders, analysts, lenders, and other business partners. These conversations provided me with valuable feedback on the business and helped me formulate our priorities for the future. Now, as CEO, I intend to leverage those insights and go right to work leading the team and the business operations, with a focus on our strategic plan to turn around performance and to create long-term value for our shareholders and other constituents, including our bank lenders, bondholders, and employees. As for some of my initial impressions, first and foremost, I believe the Fifth Street platform is resilient; remains well positioned within the middle market lending community; and benefits from having a solid core team in place today. Our focus is on enhancing operating and investment performance, generating NAV stability, optimizing our borrowing facilities, and operating within our target leverage range. During this call, I will discuss the current state of our portfolio, our future investment strategy, our new dividend policy, and the necessary steps we are taking to further strengthen our infrastructure. Although I believe we have identified most of the key areas for improvement, and have a clear plan to achieve our objectives, our efforts to improve performance and reposition the portfolio will take time. Make no mistake, though; we are operating with a renewed sense of urgency and focus. One of my top priorities is to enhance the underwriting and risk management procedures with the ultimate goal of stabilizing NAV and core earnings. To that end, we embarked on a comprehensive review of FSFR's portfolio, which included a detailed evaluation of the overall composition as well as a particular focus on the individual investments that have and continue to cause, NAV volatility. As a result of this evaluation, we have laid out a plan to reposition and optimize FSFR's portfolio to drive enhanced returns to shareholders. However, in the interim, we may experience some further volatility, specifically around investments currently on non-accrual, or on our watch list. First, we plan to emphasize portfolio diversification in an effort to avoid large, single-name exposures and industry concentrations. To that end, we will seek to diversify our portfolio across additional industries with strong underlying fundamentals, and shy away from smaller investments while reducing some of our larger exposures. As FSFR has a relatively liquid portfolio, we may seek to expedite our repositioning by exiting certain positions or industries where we have large concentrations. We expect that this will provide us with additional flexibility to redeploy capital in a way that enhances the composition of our portfolio. Second, we are focused on distinguishing FSFR's mandate from that of our other BDC, Fifth Street Finance Corp. FSFR will remain primarily focused on investing in senior secureds middle-market credits at the top of the capital structure, which should provide investors with a lower risk, lower yielding alternative to FSC. Going forward, we intend to substantially reduce the number of direct crossover transactions between FSFR and FSC. Third, we believe it is important to increase the utilization of our senior secured joint venture with the Glick family. We have engaged in a constructive dialogue with our partner, and we look forward to more fully utilizing the joint venture's available investment capacity, which we believe should drive incremental value to FSFR's shareholders. Additionally, we view joint ventures, such as the one we currently have in place, as a way to increase FSFR's investment capacity while providing for an accretive and attractive risk-adjusted return to our shareholders. Given the current market environment and the present construction of our portfolio, we believe that now is a prudent time to focus on repositioning the portfolio and enhancing operating flexibility to drive shareholder value. Utilizing Fifth Street's direct originations platform, we will prioritize investing in floating-rate senior secured loans with lower loss given default characteristics, while shying away from cyclical industries and commodity risk. Additionally, we plan to focus on companies that exhibit high levels of sustainable free cash flow. Turning to our portfolio, we ended the first fiscal quarter with $540.1 million of investments at fair value. And our regulatory debt to equity ratio was 0.79x, below our targeted range, principally due to repayments, net of new investments. We intentionally held off from completing new originations during the quarter, an effort to manage our leverage down, which we believe provides us with additional operating flexibility as we reposition FSFR's portfolio. As of December 31, 2016, our NAV was $10.86, down from $11.06 per share at the end of the September quarter. The decline in NAV was attributable to credit weakness experienced in a few portfolio companies, and was partially offset by spread tightening. We ended the quarter with two investments on non-accrual, representing 2.9% of total debt investments at fair value. One of our credits that remains on non-accrual is Answers.com. The company has continued to experience weakness in its financial results, causing further declines in the trading prices of both the first and second lien loans, leading to mark-to-market write-downs. The company is in the process of evaluating alternatives to alleviate [indiscernible]. Metalogix, which is on PIK non-accrual, is a provider of enterprise data migration and management tools, primarily for Microsoft SharePoint. The company has experienced challenges as the market has been pivoting away from using on-premise systems, which comprise a majority of the company's business. Additionally, there has been a recent change in management causing further disruption. Although the company is current on its cash interest payments, we believe that there may be future liquidity constraints, and are following the company closely. While our financial statements represent the fair value of our portfolio at December 31, looking ahead, we may experience some further volatility, specifically around investments currently on non-accrual or on our watch list. We continue to work diligently with the private equity sponsors and the management teams at our stressed investments to exit, restructure, or improve underlying business performance to maximize recoveries for our shareholders. We believe that resolving the assets on non-accrual and on our watch list in a timely manner is important to our overall portfolio repositioning. For the quarter ended December 31, 2016, we generated $0.20 of net investment income per share versus $0.22 of net investment income per share during the September quarter. The change in net investment income per share quarter-over-quarter was primarily driven by net repayments, which decreased leverage below our target range. We have decided to reassess our dividend level with the goal of generating a dividend that we can meet or exceed on a quarterly basis. In reassessing our dividend, we focus on setting it at a level that is aligned with the core run rate earnings power of the portfolio. We believe it is important to meet or exceed our dividend with net investment income to preserve NAV and create confidence in the shares of FSFR. With this in mind, we evaluated the composition of the current portfolio, including our assets in non-accrual, the current market environment, as well as the desired yields and leverage profile of our portfolio. After taking all of these factors into consideration, we have determined to move to a quarterly dividend of $0.19 per share. Our Board of Directors have declared the following dividends; a $0.04 monthly dividend for March, which, when including January and February dividends, provides for a $0.19 quarterly dividend; and a $0.19 quarterly dividend for the June quarter. We plan to continue reevaluating the dividend based on the progress we make on FSFR's stated initiatives. Lastly, I would like to discuss our plans to strengthen our infrastructure and further align employee interests with those of our shareholders. As I discussed earlier, I believe we have a solid team in place and I'm grateful for their contributions and commitment to our long-term plan. We are currently recruiting key hires in a few core areas that will add value to FSFR. In the few weeks since I joined, we've already added resources in portfolio management and operations to strengthen those divisions. Additionally, we have identified certain senior roles that we believe are necessary to help us achieve our goals. These include an experienced Chief Credit Officer to help lead our investment process and ensure that our target portfolio is prudently constructed and a Chief Accounting Officer who will support our CFO and the accounting team. We're also looking for candidates to enhance our originations and underwriting teams. Furthermore, we plan to optimize the internal team structure in an effort to operate as efficiently and effectively as possible. The team is united in driving sustainable results for our shareholders. To further align the interests of our employees and our investors, we will also tie a greater portion of our employees' compensation directly to the performance of FSFR, effective immediately. We are focused on operating with clarity, transparency, and consistency. I believe that the strategy we have described today will provide greater stability, turnaround performance, and drive enhanced value for all of our constituents over time. Repositioning the portfolio and strengthening our infrastructure should enhance value for our shareholders, but will take some time. So we ask for, and we appreciate, your patience. I'm excited for the opportunity to continue meeting with more of our investors and analysts over the coming weeks and months. Additionally, I look forward to providing further updates as we continue to make progress on the stated initiatives over the course of the year. I will now turn the call over to our CFO, Steve Noreika, to discuss our financial results for the quarter in greater detail.
Steve Noreika: Thank you, Patrick. We ended the first fiscal quarter of 2017 with total assets of $590.2 million as compared to $622.4 million at September 30, 2016. Portfolio investments totaled $540.1 million at fair value, and were spread across 61 companies at December 31, 2016. At the end of the December quarter, we had $43.7 million of cash and cash equivalents, including restricted cash, on our balance sheet. Net asset value per share was $10.86 as compared to $11.06 at the end of the September quarter. For the three months ended December 31, 2016, we generated total investment income of $11.6 million and net investment income of $5.9 million or $0.20 per share. During the first fiscal quarter of 2017, we closed $41.3 million of investments in six new and two existing portfolio companies and funded $37.6 million across new and existing portfolio companies. We also received $58.3 million in connection with repayments and exits of eight of our investments, all of which were accepted at or above par and an additional $8.4 million in connection with other pay downs and sales of investments. As of December 31, 2016, 87.3% of the portfolio consisted of senior secured floating-rate loans a 11.4% of the portfolio consisted of investments in the subordinated notes and equity interests in FSFR Glick JV; and 1.2% consisted of equity investments in other portfolio companies. At December 31, 2016, the average size of a portfolio debt investment was $8.7 million, and average portfolio company EBITDA was $66.9 million. Only two portfolio companies were on non-accrual status, representing 2.9% of total debt investments at fair value. FSFR's senior secured loan joint venture with the Glick family had $170 million in assets, including senior secured loans across 32 portfolio companies as of December 31, 2016. The joint venture generated $1.6 million of income for FSFR during the quarter representing an 8.9% weighted average annualized return on our investment. The weighted average yield on our debt investments, including the return on the JV, was 8.5% as of December 31, 2016 and included a cash component of 8.2%. We ended the first fiscal quarter of 2017 at 0.79x debt to equity, below our targeted range of 0.8x to 0.9x. As of December 31, 2016, we had $177.6 million of notes payable outstanding related to our securitization and $72.3 million drawn on our Citibank and East West Bank credit facilities. I will now turn it back over to Robyn.
Robyn Friedman: Thank you for joining us on today's call. We appreciate you spending the time to listen as we discussed a comprehensive plan for FSFR. Since we have a covered a lot of material, we have chosen not to host a live Q&A for this conference call, but have reached out to schedule a time with all of our analysts. And we encourage investors that have questions to call Investor Relations at 203-681-3720 or email Investor Relations at ir@fifthstreetfinance.com. I will now turn the call over to Chelsea.
End of Q&A: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.